Operator: Good day, and thank you for standing by. Welcome to Dycom Industries First quarter Fiscal 2025 Results Conference Call. [Operator Instructions] Again, please be advised that today's conference is being recorded. I would now like to hand the conference over to your host today, Mr. Steven Nielsen, President and Chief Executive Officer, please go ahead, sir.
Steven Nielsen: Thank you, operator. Good morning everyone. Thank you for attending this conference call to review our first quarter fiscal 2025 results. Going to Slide 2. During this call, we will be referring to a slide presentation which can be found on our website's Investor center main page. Relevant slides will be identified by number throughout our presentation. Today, we have on the call Drew DeFerrari, our Chief Financial Officer; and Ryan Urness, our General Counsel. Now I will turn over the call to Ryan Urness.
Ryan Urness : Thank you, Steve. All forward-looking statements made during this conference call are provided pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements include all comments reflecting our expectations, assumptions or beliefs about future events. These forward-looking statements are subject to risks and uncertainties, which may cause actual results to differ materially from current projections, including those risks discussed in the company's filings with the U.S. Securities and Exchange Commission. Forward-looking statements are made solely as of the original broadcast date of this conference call, and we assume no obligation to update any forward-looking statements. Steve?
Steven Nielsen : Thanks, Ryan. Now moving to slide four in a review of our first quarter results. As we review our results, please note that in our comments today and in the accompanying slides, we reference certain non-GAAP measures. We refer you to Slides 14 through 19 for a reconciliation of these non-GAAP measures to their corresponding GAAP measures. Now for the quarter. Revenue increased year over year to $1.142 billion an increase of 9.3%, organic revenue increased 2.5%. As we deployed gigabit wireline networks, wireless wireline converged networks and wireless networks, this quarter reflected an increase in demand from two of our top five customers. Gross margin was 19.3% of revenue an increased 95 basis points compared to the first quarter of fiscal 2024. General and administrative expenses were 8.3% of revenue and all of these factors produced adjusted EBITDA of $130.9 million or 11.5% of revenue and earnings per share of $2.12. Liquidity was solid at 573.6 million. Pro forma for our recently closed five-year extension to our senior credit facility, liquidity was $707 million. In May, we completed an acquisition that extends our geographic footprint to Alaska, and finally, during the quarter, we repurchased 210,000 shares of our common stock for $29.8 million. Now going to Slide 5. Today, major industry participants are constructing or upgrading significant wireline networks across broad sections of the country. These wireline networks are generally designed to provision gigabit network speeds to individual consumers and businesses either directly or wirelessly using 5G technologies. Industry participants have stated their belief that a single high-capacity fiber network can most cost-effectively deliver services to both consumers and businesses, enabling multiple revenue streams from a single investment. This view is increasing the appetite for fiber deployments, and we believe that the industry's efforts to deploy high-capacity fiber networks continues to meaningfully broaden the set of opportunities for our industry. We are encouraged that a number of our customers are pursuing strategic transactions, aim largely in part to increase access to capital and expand fiber deployment programs. Increasing access to high-capacity telecommunications continues to be crucial to society, especially for rural America. The Infrastructure Investment and Jobs Act includes over $40 billion for the construction of rural communications networks in unserved and underserved areas across the country under the B program. This represents an unprecedented level of support and meaningfully increases the rural market that we expect will ultimately be addressed. All states and territories have submitted their initial B proposals. As of early this week, eight states and territories have completed all 10 required steps, while 45 others have completed nine of the 10. Once all 10 steps are completed, a state can request 20% or more of its allocated feed funding. To date, approximately $6 billion or 14% of the program total has received initial proposal approval. In addition, substantially, all states have commenced programs that will provide funding for telecommunications networks even prior to the initiation of funding under the Infrastructure Act. We're providing program management, planning, engineering, and design, aerial underground and wireless construction and fulfillment services for gigabit deployments. These services are being provided across the country in numerous geographic areas to multiple customers. These deployments include networks consisting entirely of wired network elements and converged wireless wireline multi-use networks. Fiber network deployment opportunities are increasing in rural America as new industry participants respond to emerging societal initiatives. We continue to provide integrated planning, engineering, and design, procurement and construction and maintenance services to several industry participants. Macroeconomic conditions appear stable. In addition, the market for labor has improved in many regions around the country. Automotive and equipment supply chains are also improving, although the supply of mid-duty chassis is still somewhat constrained. Prices for capital equipment continue to increase, but at a moderating rate. For several customers, we expect the pace of deployments to increase this year, including two significant customers whose capital expenditures were more heavily weighted toward the first half of calendar year 2023. Within this context, we remain confident that our scale and financial strength position as well to deliver valuable service to our customers. Moving to Slide 6. During the quarter, revenue increased 9.3%. Our top five customers combined produced 56.4% of revenue, which was essentially flat organically. Demand increase from two of our top five customers, all other customers increased 5.7% organically. AT&T was our largest customer at 18.9% of revenue, or $215.5 million. AT&T grew sequentially for the second consecutive quarter. Lumen was our second largest customer, 13.7% of total revenue or $156.8 million. Lumen grew organically 15%. This was our ninth consecutive quarter of organic growth with lumen. Revenue from Comcast was $105 million or 9.2% of revenue. Comcast was Dycom’s third largest customer. Charter was our fourth largest customer at $89.1 million or 7.8% of revenue. Charter grew 121.8% organically. And finally, Verizon was our fifth largest customer at $78.2 million or 6.8% of revenue. This is the 21st consecutive quarter where all of our other customers in aggregate, excluding the top five customers, have grown organically. Of note, fiber construction revenue from electric utilities was $96 million in the quarter. We have extended our geographic reach and expanded our program management network planning services. In fact, over the last several years, we believe we have meaningfully increased the long-term value of our maintenance and operations business. A trend which we believe will parallel our deployment of gigabit wireline direct and wireless wireline converge networks as those deployments dramatically increase the amount of outside plant network that must be extended and maintained. Now, going to Slide 7. Backlog at the end of the first quarter was $6.364 billion versus $6.917 billion at the end of the January, 2024 quarter, a decrease of $553 million. Of this backlog, approximately $3.863 billion is expected to be completed in the next 12 months. Backlog activity during the first quarter reflects solid performance as we book new work and renewed existing work. We continue to anticipate substantial future opportunities across a broad array of our customers. During the quarter, we received from Frontier a construction and maintenance agreement in Illinois, for Comcast, a construction agreement in Washington, various rural fiber construction agreements in Washington, Arizona, Tennessee, and Georgia, and various utility line locating agreements in California, Virginia, and Georgia. Head count was 15,689. Now I will turn the call over to Drew for his financial review and outlook.
Drew DeFerrari : Thanks, Steve, and good morning everyone. Going to Slide 8. Contract revenues were $1.142 billion and organic revenue increased 2.5%. Revenue from our recently acquired businesses were $71.2 million in Q1, adjusted EBITDA was $130.9 million or 11.5% of contract revenues compared to $113.5 million or 10.9% in Q1 ‘24, an increase of 60 basis points. Gross margin improved 95 basis points to 19.3% of revenue compared to 18.4% in Q1 ‘24. G&A expense was 8.3% of revenue compared to 7.9% in Q1 ‘24. The increase in G&A reflects higher stock based and performance-based compensation, as well as an increase in professional fees including cost related to acquisitions. Net income was $2.12 per share compared to $1.73 per share in Q1 last year. Results for the quarter include income tax benefits resulting from the vesting and exercise of share-based awards of $5.9 million or $0.20 per share compared to $2.7 million or $0.09 per share in the year-ago quarter. Including these benefits, the change in net income reflects the $17.4 million increase in adjusted EBITDA and higher gains on asset sales offset by $7.9 million of higher depreciation and amortization, $1.5 million of higher interest expense and higher stock-based compensation and income tax expense. Going to Slide 9, our financial position and balance sheet remains strong. We ended Q1 with $500 million of senior notes, $310.6 million of term loan, and $55 million of revolver borrowings outstanding. Cash and equivalents were $26.1 million and liquidity was $573.6 million. In May, we amended our senior credit facility to expand capacity and extend the maturity to January, 2029. Under the new facility, we now have $450 million of term loan outstanding and an undrawn $650 million revolving credit facility. On a pro forma basis, if the new facility was in place as of April 2024, total liquidity would've increased by approximately $133 million to $707 million, reflecting increased cash on hand and higher revolver availability. Our capital allocation continues to prioritize organic growth followed by M&A and opportunistic share repurchases within the context of our historical range of net leverage. Going to Slide 10. Cash flows used in operating activities were $37.4 million to support sequential growth in Q1. The combined DSOs of accounts receivable and net contract assets were 110 days, a reduction of 10 days sequentially, reflecting normal seasonal impacts and collections from customers during the quarter. Capital expenditures were $29.3 million. Net of disposal proceeds and gross CapEx was $42 million. During Q1, we acquired a telecommunications construction contractor based in the Midwest United States for $13 million net of cash acquired. Additionally, during Q2, we have acquired another telecommunications construction contractor for $20.8 million net of cash acquired that expands our geographic footprint to Alaska. During Q1, we repurchased 210,000 shares of our common stock for $29.8 million. Going to Slide 11. As we look ahead to the second quarter ending July 27th, 2024, we expect organic contract revenues to grow by high single digits as a percentage of contract revenues compared to Q2 ‘24. In addition to the organic revenue growth, we expect approximately $70 million of acquired revenues. We also expect non-GAAP adjusted EBITDA percentage of contract revenues to increase 25 basis points to 75 basis points as compared to Q2 of last year, $6 million of amortization expense, $14.9 million of net interest expense, a 26.5% effective income tax rate, and $29.4 million diluted shares. Now I will turn the call back to Steve.
Steven Nielsen : Thanks Drew. Moving to Slide 12. This quarter, we experienced solid activity and capitalized on our significant strengths. First and foremost, we maintain significant customer presence throughout our markets. We are encouraged by the breadth in our business. Our extensive market presence has allowed us to be at the forefront of evolving industry opportunities. Telephone companies are deploying fiber of the home to enable gigabit high-speed connections. Rural electric utilities are doing the same. Dramatically, increased speeds for consumers are being provisioned, and consumer data usage is growing, particularly upstream. Wireless construction activity and support of newly available spectrum bans continues this year. Federal and state support for rural deployments of communications networks is dramatically increasing in scale and duration. Cable operators are increasing fiber deployments in rural America. Capacity expansion projects are underway. Customers are consolidating supply chains, creating opportunities for market share growth, and increasing the long-term value of our maintenance and operations business. We are pleased that many of our customers are committed to multi-year capital spending initiatives as our nation and industry experience stable economic conditions. We are confident in our strategies, the prospects for our company, the capabilities of our dedicated employees and the experience of our management team. Now operator, we will open the call for questions.
Operator: [Operator Instructions]. Our first question will come from Alex Rygiel from B. Riley Securities. Your line is open.
Alex Rygiel : Couple quick questions here. Lots of development talk about AI and data center demand, I mean electric grid, but can you talk about how this megatrend has or may impact your telecom business? And how would you frame AI relative to other communication infrastructure megatrend over the past few decades?
Steven Nielsen: Alex, the way I would start is, is there's a direct opportunity that as they create more data center capacity, and I'm not an expert in this, but we do monitor the trends. Sufficient grid power is hard to find, and so we are seeing more data centers located in parts of the country that historically have not had the backbone fiber access that the more traditional geographies for data centers. So certainly, there's an opportunity there. I think more broadly into the second half of your question, if we think about any application that learns from and requires ever increasing amounts of data, you've got to collect it and then you've got to process it and then you've got to send it somewhere to be used. And so, anything that increases demands on the network is historically been good for our business. A little early to tell, what the magnitude of that may be but certainly something to pay attention to.
Alex Rygiel : Then second question here, just an EBITDA margin showed some nice improvement and your guidance continues to reflect expansion. Can you remind us where your long-term target is and then talk about some of the things you are doing that is a tailwind to this margin improvement?
Steven Nielsen: As we've said before, we have seen in periods of time where we have had broad geographic and customer diversification that we get good operating leverage. And so, as we have better distribution across customers and geographies, we think that's an opportunity. I mean, we continue to roll out a number of technologies to simplify the field administration of the business to focus on increased productivity. And as I always say, we had good performance this quarter but half the business was less than the average. And so, we could always add things to work on.
Alex Rygiel: Thank you, very much.
Operator: Our next question will come from Adam Thalhimer from Thompson, Davis. Your line is open.
Adam Thalhimer : Steve, in the prepared remarks, you referenced cable capacity expansion projects. Can you unpack that for us a little bit and could that impact your largest cable customer?
Steven Nielsen: Look, I think more broadly that that was talking about the cable industry focusing on moving to do 4.0 either through a mid-split or a high-split approach, as well as through full duplex. And I think as that technology becomes more settled and becomes more available throughout this year, there'll certainly be opportunities there for growth. The cable industry broadly is also building out edging out of their existing footprint. And that's also certainly a good opportunity for us to grow also.
Adam Thalhimer : And then on the share repurchase activity, $59 million over the past two quarters, how would you characterize that? Is this just in line with your normal capital allocation, or do you see the shares as undervalued?
Steven Nielsen : I think we can first say that we're in the money. But beyond that, I think we've always focused on a balanced approach that says, first and foremost, we're going to make sure that we have sufficient capacity support the growth of our customers and of the industry. I mean, we're a substantial portion or a good portion of the industry, and we want to make sure we can always support industry and customer growth. And then we're going to look at acquisitions versus share repurchase. I think we've been encouraged on the acquisition side, we've always had an opportunistic approach to acquisitions. And we are seeing more opportunities, I think, a little bit counterintuitively with the normalizing of interest rates. We see value that we didn't see a couple years ago. And so, we're going to take advantage of those opportunities when we can. And of course, the last thing which supports all of it is if you look at our EBITDA over the last couple years, it's doubled leverage has come in. And so, we have more financial capacity to explore all the opposites across organic growth M&A and share repurchase.
Operator: Our next question will come from Sangita Jain from KeyBanc Capital Markets. Your line is now open.
Sangita Jain : I had a couple questions. One on the backlog, I understand it's a seasonally slow quarter, but just trying to get a sense of the backlog versus the dynamics of the strong revenue growth forecast that you gave us, if you could help us there.
Steven Nielsen : Sure. It was a quiet quarter with customers. That's not unusual for that part of the year. I think the other thing to keep in mind, Sangita, is if you look at the next 12 months basically in line with the January quarter, even though we do have some contracts that are annual and renewed at the end of each calendar year. And so, I guess what I would say is right now we're focused on the next 12 months and the organic revenue guide and duration and total backlog is always important. But in this current environment something, we pay attention to, but we're much more focused on next 12 months.
Sangita Jain : Got it. That’s helpful. And also, on the Alaska acquisition that you announced, is that in any way you looking out at the bead opportunity because it looks like Alaska about a decent amount of funding on bead, or are there any other drivers for that acquisition?
Steven Nielsen : Well, first and foremost, Sangita, we like the folks that we bought the business from. There are two partners. One of the partners actually worked for us a little less than 20 years ago. The other partner was a customer a little less than 20 years ago. We're pleased with the opportunity to get together with folks that we've known for a long time and have great established reputations and track records. And then as you point out, Alaska received a little over a billion dollars of beef money. They've also received some USDA money. And we think it's an opportunity to grow where that funding is going to become available with people that we know and respect.
Operator: Our next question will come from Alex Waters from BofA. Your line is open.
Alex Waters : Good morning. Thanks for taking my question. Maybe first, Steve, can you maybe talk about any impact you see from the Unity and Windstream merger? I know Windstream's a top 10 customer for you guys, and then secondly, pretty strong performance from the electric utilities this quarter. Could you just maybe give a little bit more color on that and what the runway associated is? Thanks.
Steven Nielsen : Good morning, Alex. Yes, we have worked for Windstream for decades, and so we are certainly encouraged that when Unity announced the merger that they identified that in part the merger's motivated by the desire to do more fiber to the home, up to a million additional passing’s. And so, yes, we think that Unity - Windstream as well as EQT, T-Mobile, Lumos and other strategic activity in the industry is all around how do they raise more capital? How do they become more financially flexible so that people can deploy more CapEx on the things that we do, build fiber to the home? We are encouraged by Windstream and Unity.
Drew DeFerrari : And then I think with respect to electric utilities, it's a nice segment. It's grown substantially for us over the last 6 years, 7 years, 8 years. And it just shows how strong the trend is in rural America and how many participants see value in deploying fiber, and we think that's going to continue.
Operator: And our next question will come from Steven Fisher from UBS. Your line is open.
Steven Fisher: Thanks. Good morning. Just wanted to ask you about growth and availability of resources. Obviously, strong quarter. I'm curious how you're thinking about the stars are lining up on timing of a lot of these funding programs, and customer demand. I'm wondering if you think your fiscal ‘26 is going to require a much broader level of contractor resources, and are the resources available to handle strong double-digit growth? If that's how it lines up should we think about that we will start to see it more in your hiring ahead of that? Or will you turn to more subcontracting and just essentially, I guess are we on the edge of much faster growth here and is the industry ready to handle it?
Steven Nielsen : Steve, I guess what I would say is that labor supply has been improving. We've identified that I think for the last two or three quarters. So, as we get bigger and as the industry gets bigger, its ability to add resources on the margin increases. And so, I think that that's encouraging. As we've talked about before, over the last three years, we've added in excess of a billion dollars of organic growth. And as you get bigger, your ability to do that get gets better. So, it won't be easy, never is, but we feel confident that with the right customers, applying our self to the right opportunities where we can be most helpful that we can continue to grow. There'll always be a mixture of in-house hires, depending on the line of business and geography, and what's available through subcontractors. But I think we're also perceived as to be a good partner to our subcontractors. And I think as opportunities develop, we'll be able to get our fair share.
Steven Fisher: Okay. And then it looks like you're starting to have some consistency in this 25 basis points to 75 basis points of year over year margin improvement. How should we think about what's really driving that? Is that really just general operating leverage as your revenues grow, you get just a little bit more absorption? Or is there better pricing going into backlog relative to what you're reporting on a trailing basis versus some of the initiatives? You talk about productivity things and some of the sort of the back office. So how do we think about what's really within that 25 basis points to 75 basis points of margin improvement? And is there anything that would take it up or down from here in sort of the next handful of quarters?
Steven Nielsen : And Steve, I think you touched on the way we think about the business. I mean, clearly when you get good organic growth and you get broadly distributed growth across customers and geographies, that's your best recipe for operating leverage. And so clearly, that's probably first and foremost. Second, I think given the scale of the enterprise now, and it's our geographic coverage, we work hard to make sure that we're committing resources to customers in areas where we can perform for them and for ourselves. So, we want to make sure that where we commit that we'll do a really great job for the customer. And usually when we do a really great job for the customer, we're able to perform better for ourselves. And then I think, we're always going to continue to work hard on taking cost out to the business. We're using lots of tools that we connect with crews now wirelessly. We try to move data electronically rather than, and then the old way. And again, based on our scale, we're making investments there that frankly I don't see other people making at the same level. So, I think, a combination of good operating leverage the ability to make sure we only commit in places where we can do a good job for the customer. And then investing at scale and things that you have to have our scale to be good at.
Steven Fisher: Very helpful. Thank you.
Operator: Our next question will come from Frank Louthan from Raymond James. Your line is open.
Unidentified Analyst: This is Rob, one for Frank. Congratulations on the quarter. From our recent contact with the states, it doesn't appear there will be any bead related to construction being done this year. Is that your expectation as well? And then as a follow-up based on what you're seeing in the locate business, what's your outlook on how the US economy is faring so far this year relative to how it looked coming into January? You seeing more activity, less overall? Any color you can provide us with would be appreciated. Thank you.
Steven Nielsen : On bead Rob, I think what I would tell you is that there has been a pickup in the number of states that have gotten first step approval or actually second step approval. So, there're actually eight states that are ready to start the sub-grantee process, including four that have over a billion dollars. So, I think incrementally we feel more positive than we did three months ago. Obviously, lots to do. It's interesting, Rob, those eight states have about $6 billion of funding. Of course, there's a required 25% match, so call it $7 billion or $8 billion. That's bigger than the 2009 stimulus that kept us quite busy for a couple three years. So, it's amazing. Just the scale of that. I think next year, I think you're right, I think it's the first half of next year, first quarter, but there are some states here that are moving rapidly and we're having some conversations with. So hopefully, it'll be a little bit sooner, but I think it will be worth the wait based on everything that we know today. And then I would tell you that just kind of our own internal indicators turned positive in that business fall of last year and they've continued to improve and we'll hope that continues.
Operator: Our next question will come from Brent Thielman from D.A. Davidson. Your line is open.
Brent Thielman : Thanks. A couple, just on the quarter, the other income item below the operating line seem to be a larger than usual benefit, and then similarly, a much lower tax rate this quarter. Can you just clarify what those items are related to?
Drew DeFerrari : The other income, you'll see the gain on sale was a little bit higher this quarter. That's from disposal proceeds on assets as we're buying new and selling existing. And then on the tax rate, we did call out in the comments, and you'll see it in slides as well. We did have a benefit of about $0.20 per share, which was related to the vesting and exercise of share-based awards. And so that comes through as a benefit on the tax line. So, I think if you strip that out the rate, the effective tax rate for the quarter was a little over 26.5%. And that's where I've got it in the outlook as well.
Steven Nielsen : And then Steve, I guess just to follow-up on the overall data center opportunity for Dycom, I mean, a lot of this, these projects seem to be well underway, obviously more potentially to come in terms of planning. Could you just help us understand what's been the benefit to the business directly or indirectly to date? Understand that you'll need more backhaul in the future, but presumably you'll need that sooner than later. So, I just wanted to get my head wrapped around how you're looking at this and what's actually been the impact to your business so far.
Brent Thielman : Brent, I know it's the topic of the day on the street, but I would say the impact's been modest on the business. So, it's all upside depending on how it develops. But it is not an area where we've seen a material impact on the business as of yet.
Operator: Our next question will come from Eric Luebchow from Wells Fargo. Your line is now open.
Eric Luebchow: Thanks for taking my question. Steve, you talked about two of your top customers starting to increase the pace of deployments versus a bit more of a pull forward into the first quarter last year. So, is your expectation with those two customers they'll kind of grow sequentially from here? We'll see the growth path be a little bit steadier versus what was a little bit more of a volatile quarterly pace last year.
Steven Nielsen: I think we're pleased with how both of those customers developed in, from the January quarter into the April quarter, and we feel good about the year, and we think they're growing as we lap, the easier comps in the back half of last year. And I think they both have large programs and we're pleased that we're able to participate.
Eric Luebchow : And you had a comment in your prepared remarks about wireless CapEx to support new spectrum deployments. Just curious if you're seeing any green shoots or inflection points. I know wireless spending broadly has been -- has slowed quite a bit the last couple years. I don't know if you're seeing any opportunities to deploy new spectrum or densify existing sites that could improve the trajectory of that business for you.
Steven Nielsen : I guess what I would say, Eric, is it's less than 4% of revenue now and right now we don't anticipate any return to growth anytime soon. The carriers continue to do a great job of deploying spectrum pretty efficiently. And so, we have not seen any significant change since last quarter.
Eric Luebchow: And I'll sneak one more in Steve. Just as you look at some of these, the bead and the rural fiber programs that are coming up do you think there'll be any real kind of margin differential in building fiber in those more rural areas versus more or urban? And does it depend on whether the incumbents are planning to build within or adjacent to their -- footprints versus out of footprint, which I know can be a lot more challenging for them?
Steven Nielsen : Eric, there's nothing inherent in any build, whether it's rural, urban, or suburban as to what the margins are. It's always a function of the capital that's required on the program and the complexity of managing it with the customer. We do lots of rural work today and we're pleased with the results. And so, we're not thinking that the shift will have a material impact one way or another on our overall sense of the margin directory of the company. Clearly, as you identified, to the extent that incumbents are able to utilize their existing pole attachment agreements, central offices or head ends, or other facilities that they already have cited there that will be helpful. And then I would say, and we've talked about this before, we serve on a for maintenance master service agreements. We serve broad sections of rural America right now, and it'll be great to have more to do through those footprints.
Operator: Our next question comes from Christian Schwab from Craig Hallum Capital Group. Your line is now open.
Christian Schwab: Just to follow-up on bead I know that the Commerce Secretary has been telling Congress that they want all the states to be approved and the money to start being dispersed as soon as this fall. So, I want to go back to your feeling better about that market than say you did 90 days ago. Do you think we'll be in a really strong, broader position? I know you talked about $9 billion of just a handful of states, plus or minus, but do you think as we go into ‘25, I'm just wondering if you could just add a little bit more color on your enthusiasm for worth the wait.
Steven Nielsen: Yes. Christian, I think we've always taken an appropriately conservative view as to how quickly any government program will start up. But I think this is a classic example, Christian that sometimes we over anticipate, but then really underappreciate. I mean this is a big program. If it starts in the fourth quarter of '24, the first quarter in '25, in 2026. I don't think anybody is going to remember because of the magnitude of the program. As I said earlier, if you think about this relative to the most comparable program 15 years ago, the money that's awarded now for [indiscernible] is larger than the amount of money that was dedicated to the entire country. And just to remind everybody on that earlier program that was about $6.5 billion when it was all said and done through our own efforts and then with the companies that we had acquired in 2012 on a pro forma basis, we did about 8% or 9% of that entire program. So, this is a big opportunity.
Christian Schwab: And that is a great segue to my next question, Steve, is given the tremendous amount of infrastructure dollars, not only in fiber but elsewhere, do you feel like there is less competition or the potential for less new entrants to come into the marketplace to chase after those dollars that are kind of used to getting dirty and dealing with heavy equipment that you might have expected previously?
Steven Nielsen: I mean, Chris, on my view on competition is we're in a highly competitive industry as we do well, we're going to attract competition, that's as true today as it was 20, 25 years ago. So just something that we're going to deal with -- what I do -- what I think we can say is as the programs become larger and more complex, we think there's a real return to the singular focus on this industry that we have and that helps us to perform better and win our fair share against those who might be more diversified.
Christian Schwab: Great. No other question. Thank you.
Operator: Our next question comes from Alan Mitrani from Sylvan Lake Asset Management. Your line is now open.
Alan Mitrani: Thank you. A couple of questions, if I can. You said on CapEx, can you give us -- maybe I missed it, can you give us an updated guide for the year? And also, why is it that your CapEx missed what you thought it would be this quarter?
Steven Nielsen: Go ahead, Drew.
Drew DeFerrari: Yes. Alan, we haven't updated the CapEx from where we were. We still anticipate the $220 million to $230 million. If you look at the net number for the quarter and to add on to Brent's earlier question, we did have higher disposals in the quarter that's net into that number.
Steven Nielsen: On a growth basis, Alan, it was in line with our expectations. And as quick as we -- it, we're putting it to work.
Alan Mitrani: No problem. Maybe just missed my expectations in the quarter, that's fine. A question for you. The two acquisitions, can you give us the revenue run rate for each of those acquisitions, either trailing 12 or past calendar year?
Steven Nielsen: I mean, Alan, we provided in Drew's comments, the purchase price, we're not going to drill down into the revenue on something that's a bolt-on other than to say that we're pleased with both those acquisitions as well as the one that we did last year. And to the extent that they are more available, we'll continue to look at them.
Alan Mitrani: Okay. And then on SG&A, the numbers seem -- the absolute dollar numbers seem pretty high relative to the increase in revenues year-over-year, $10 million increase. I realize a little bit million and change of it was -- let's say, nonstock comp, but is there something else the percentage of revenue was fairly high versus the past? Is there something else like meaningful -- like some nonrecurring besides some of the professional fees that were in there that made that so much higher?
Drew DeFerrari: So, Alan, obviously, we had better-than-expected organic revenue growth this quarter. And then we expect that as -- if you look at the outlook, the increase in the next quarter as well. And then when our results increase, both the performance-based stock comp as well as regular performance compensation increases and that impacts G&A as you highlighted, there was some M&A type costs that hit the number as well.
Steven Nielsen: Yes. And I think the other thing I would add, Alan, is we look at our growth outlook, we're going to make sure that we invest in the right program controls and the right G&A processes to make sure that when we get them that we achieve the margins that we anticipate.
Alan Mitrani: Okay. And then one final question. Relative to the stock -- to the repurchase of shares, I saw in your annual letter, you highlighted over the last -- since you've been CEO, and way back how you guys have bought stock back at pretty good prices, clearly, and it's been a good investment. But I still look at your stock, even though it's hitting all-time highs here and doubled since October, you still trade whether everybody is overvalued or not, you still trade at anywhere from a 30% to 100% discount to most other comps that I would look at, either specialty contractors or other contractors and yet your margins are higher than most of them and your leverage is lower. Do you have a thought process on that relative to what you're seeing in the market or what valuations are?
Steven Nielsen: Alan, it's like that old statement, right? In the short term, the market -- is it a weighing machine. I forget what the saying is. But look, we're going to run the business fundamentally in the way that has been successful over a long period of time. To the extent that the market gives us opportunities to allocate capital to reduce ownership claims on the future. And we think the future is bright, then we're going to do that. And I've been doing it a long time. Everything rotates around. But at the end of the day, you run the business as best we can, and the market will take care of itself.
Operator: Our next question will come from Steven Fisher from UBS. Your line is open.
Steven Fisher : Just a couple of quick follow-ups. I'm not sure if I missed it, but the $55 million of revolving facility, that you added in the quarter. What was that for? Was that related to the buybacks and acquisitions you already did? Or was that something for more of what's to come?
Drew DeFerrari: No, I think -- Steven, this is Drew. So seasonally, we consume some working capital. So, if you look, we did use some operating cash flows in the quarter and that just funded the business. We also did close the acquisition that we -- or one of the acquisitions in the quarter as well, which was the one of the $13 million purchase price.
Steven Nielsen: Yes. And Steve, I guess what I would add is that we have had a long practice here to renew credit facilities a couple of years before the maturity dates. And so, we had a maturity date in April of '26. And so, we've now extended that out to April of '29 -- January. Drew, correct me -- January of 2029. And that's just ordinary course. And so that's why we did what we did on the credit facility.
Steven Fisher: Okay. I thought it might be working capital, but last year's Q1, you did not have a draw on it. So -- but anyway -- and just a follow-up on Alan's question on the -- the acquired revenues, is there any puts and takes to the expectation for Q2? Because it seems roughly steady at about $70 million with Q1, but presumably you'll have more acquisitions in this quarter than you had last quarter. So, I'm just curious if there are some puts and takes that are keeping that from being higher.
Steven Nielsen: Steve, I think all of the businesses are performing well when they're smaller businesses that tend to have a little more volatility quarter-to-quarter, and we don't want to get ahead of ourselves in giving you that kind of nonorganic expectation. The Alaska acquisition, believe it or not, hasn't really gone to work yet. That's kind of a June thing. And so, they're not going to be a significant contributor this quarter until we get deeper into June and July.
Operator: And I am showing no further questions from our phone lines. I'd now like to turn the conference back over to Steven Nielsen for any closing remarks.
Steven Nielsen: Well, we thank everybody for your time and attendance and interest, and we look forward to speaking to you again on our next quarter, which will be the third week of August. Thank you.
Operator: Thank you. This concludes today's conference call. Thank you for your participation. You may now disconnect. Everyone, have a wonderful day.